Operator: Good day, ladies and gentlemen and welcome to today’s ASUR Fourth Quarter 2015 Results Conference. My name is Sarah and I will be your operator today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of today’sconference. [Operator Instructions] As a reminder, today’s conference is being recorded. At this time, I’d like to turn the call over to Mr. Adolfo Castro, Chief Executive Officer. Please proceed.
Adolfo Castro: Thank you, Sarah, and good morning everybody. Thank you for joining us today on the conference call to discuss our fourth quarter results and full year 2015 results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including factors that maybe beyond our company’s control. For an explanation of these risks, please refer to our filings with the Securities and Exchange Commission and the Mexican Stock Exchange. Now moving on to results, our fourth quarter performance marked another strong period that’s contributing to our planning results for the year 2015. We also continue to make progress on our expansion plans at both our Mexican airports, as well as San Juan International Airport. Starting with our operations of San Juan Puerto Rico International Airport, passenger traffic at this airport grows 3.8% year-on-year reaching 2.1 million passengers this quarter. This compares travelling with a 2.4% traffic increase reported in the fourth quarter 2014, despite the changing views on the current environment on Puerto Rico. For the full-year traffic grows 1% totaling MXN8.8 million. Consolidated results this quarter include a MXN13.43 million equity gain from ASUR’s equity participation in Navistar and MXN26.85 million gain in the stockholders’ equity from translation of the dollar against the peso. The remodeling of Terminal C at San Juan Puerto Rico Airport continues to progress as planned. The renewal space will feature rebound commercial offerings and a layout more conductive to efficient traffic flow. This space is still on track for completion for the first quarter 2016. Moving onto our Mexican operations, total passenger traffic grew accelerated to 9.7% from the double-digit figure reported over the past four quarters, reflected at anticipated a slowdown in both domestic and international aircraft. Total traffic more than 6.3 million passengers, a record high for the fourth quarter. Domestic traffic increased 10.1% year-on-year to three million passengers. All ASUR’s airport contributed to this performance supported by a great airline capacity and connectivity through our domestic growth, as well as lower prices resulting in more affordable airfares. International traffic was also 9.4% year-on-year, driven by the continued depreciation of the Mexican peso against the U.S. dollar. Passenger traffic between Mexico, Canada and the United States represented 86.9% of the total compared with the 86.8% a year ago. While traffic growth is still robust, looking forward, we remained more cautious as we also will be facing more difficult comps given the strong growth reported in 2015. Now moving on to the income statement, total revenues excluding construction services increased 18.9% when compared to the fourth quarter 2014. Commercial revenues, the packages in the fourth quarter were robust up 37.6% year-on-year, reaching a record high of MXN88.7. This was driven by the strong passenger growth and continued effort of our concessionaires increased commercial revenues. We also complete the expansion of Terminal 3, this past December. In addition to making to our EBITDA we set the level as to reduce congestion Terminal 2 allowing travelers to be in a less crowded commercial space On the expense front, we continue to maintain tight expenses control excluding construction costs, operating costs and expenses were up by 7.7% year-on-year, well below the 18.9% increase in revenues, as a result EBITDA increased 23.7% year-on-year to MXN1.1 billion as we continue to leverage our highly fixed cost base. Excluding the impact from construction revenue the adjusted EBITDA margin increased 276 basis points to 63.2% from the 59.7% in fourth quarter 2014. Our fourth quarter results also reflect a MXN17 million foreign exchange loss from the 2% peso depreciation, significantly below the 127%, MXN107 million reported in fourth quarter 2014, when the peso depreciated 9.7%. Moving on to capital expenditures, we invested MXN1.7 billion this quarter, principally, in the expansion of Terminal 3, and the foundation of the Terminal 4, which is expected to initiate operations next year. As I mentioned earlier as we’ve initiated operations of the Terminal 3 expansion from December 18, this expansion focus on an increasing operational efficiency by expanding check-in area and boarding gates. Year-to-date we have invested total of MXN2.9 billion, as we are seeing in capital expense to now with our objective for 2015, as we are with our massive Germany plan. As usual, we maintain a healthy balance sheet with cash and cash equivalents of MXN2.1 billion on December 31, 2015, down from the MXN2.5 billion at the start of this year. Bank debt totaled MXN3.7 billion at the close of the quarter. Before opening the floor for questions, let me note that before their support our commitment to sustainability, ASUR entered into a power purchase agreement with SunPower Corporation were 36 megawatt of solar energy to serve our operations in Mexico. We expect some power to begin construction of the plan for this year. Now, Sarah, let me up the floor for questions. Go ahead.
Operator: Thank you. [Operator Instructions] The question comes first to Pablo Zaldivar with GBM.
Pablo Zaldivar: Hello, good morning, Adolfo. Thank you for taking my question. I would like to start with the maximum tariff during the year we saw aeronautical revenues per passenger rise roughly 4.5% when compared to 2014 and that would be more than just an inflation adjustment and the efficiency factor. Could you give us a little bit more color, why that increase happened and what should we expect going forward?
Adolfo Castro: Of course, Pablo, good morning. And, well first of all, if we talk about the maximum rate. We should be talking about regulated revenues. Remember that regulated revenues should be restored of total revenues minus construction costs – minus construction revenues minus commercial revenues that should be more or less regulated revenues. Regulated revenues should increase in accordance with the maximum rate, but this maximum rate is adjusted with the inflation and they indict that we have to use to adjust inflation is, the PPI excluding petroleum. This index grew last year by 5.289% from the top of my head, against the Consumer Banking Index, which was 12.2%. So probably that is why you are seeing that difference and in terms of the resource.
Pablo Zaldivar: Okay, okay, that makes sense. Thank you. On the other hand, in terms of passenger traffic. In January, we saw strong deceleration, I was just wondering if this is only related to the tough comparative base due to the strong increases in the past or those figures have any other structural change maybe including Oaxaca as we saw a weak international performance in Cancun?
Adolfo Castro: Well, the traffic is generally – my opinion is representing in more normalized numbers. What we saw last year in my opinion was extraordinary is at 12.9% growth we had last year was in my opinion the result of very, very positive effects on several fronts. In the case of January and then we have seen a weak Canada for example, because of the devolution of the Canadian dollar against the U.S. dollar could be one of the reasons. We have the reason could be the weather, which has not been as strong as it was last year in the case of the north part of North America. But as I said in the remarks, what I expect is more normalized number to be here and of course we can call it the deceleration of the growth.
Pablo Zaldivar: Okay. Thank you very much for taking my question.
Adolfo Castro: You’re welcome.
Operator: And next from Credit Suisse from Pablo Barroso.
Pablo Barroso: Hi. Good morning, Adolfo and thank you for the call. Congratulations on the results. I have just a couple of questions, the first one is could you give us more color on what should we expect in passenger traffic along the year mainly driven by the tough comps that we saw in 2015?
Adolfo Castro: Pablo, good mooring. You know that we don’t give guidance because of end of the day we do not control what CapEx in terms of passenger traffic, but my recommendation will be to be more cautious against the numbers we saw last year. The numbers that we are seeing in January the 8%, remember that it is very important throughout this quarter. In terms of seasonality in the first quarter it’s always the highest of the year. So, once we see what happened during the first quarter we can have a better follow of what the year is going to be, but of course the numbers we’re seeing in January is 8% is much, much lower than what we saw last year and that is what we expect not in terms of the numbers but as weaker traffic against 12.9% we had last year.
Pablo Barroso: And my other question is, we’re expecting for 2016 higher free cash flow generation, mainly boosted by lower CapEx compared to 2015, management analyzing the possibility of increasing the Company’s dividend payment?
Adolfo Castro: Well, you know that the dividend payment is something that we evaluate every year in terms of the results of the year. If we see what is our cash position today, they two points - something million from the MXN2.9 billion we initiated, that was despite the high CapEx we have for the year and the dividend payment we build in the year 2015. So this is something that we’re going to evaluate once we have the results of the year. In terms of what is the cash position, what is the tax situation, how much CapEx we have in front and if there is any investment opportunity. And then we have to sit with our Board of Directors and then to the shareholders as such.
Pablo Barroso: Okay. Thank you, Adolfo. That was very helpful.
Adolfo Castro: You’re welcome.
Operator: [Operator Instructions] And we will go next to Ricardo Alves from Morgan Stanley.
Ricardo Alves: Hi, Adolfo. Good morning and thanks for taking my questions. I have a couple of questions actually; first one on Cancun on the non-aeronautical revenue, we saw this MXN121 and MXN122 per workload unit in that airport I mean was really remarkable and especially considering the Terminal 3 expansion, so can you remind us how do you managed to do this again, I remember asking the same question like two quarters ago and we were surprised to the upside again on the commercial side in Cancun last quarter again and actually a follow-up on that, now that the Terminal 3 is ready, where do you expect this per workload units figure go to in 2016?
Adolfo Castro: Okay, Ricardo. Hi, good morning. And if you saw the commercial revenues as I said during the remarks, we are working very hard and very close to that concessionaires as we are trying to improve their activities and then to be able to sell more. Basically, this is what we have done for the quarter, but there are some activities nonetheless, there are some activities that should be doing better. And one of them and it’s a very important one duty free, you can see that duty free we shown for the year was not nice I have to say and increasing by 17%, when you see the traffic growth and the peso revolution, we should be more. So we’re working very closely with these concessionaires due to we have improved along the year. And I hope we will see better results as from the end of this year, that’s one of the main activities. Then sort of opening the expansion of Terminal 3, in our opinion will give us some kind of benefit, because we will be able to move, what we have moved some airlines from Terminal 2 to Terminal 3 and these will represent for these passengers better position or better experience in terms of commercial offer. Also this will give some kind of relief to Terminal 2, Terminal 2 was really crowded, so this movement will give some space to the passengers and I hope that with this additional space they would be able to buy more. In summary, we expect a mild increase because of Terminal 3 expansion and let’s see if these results are as we would think.
Ricardo Alves: Got it. So it seems to be reasonable to assume that for 2016 in Cancun you’re probably going to reach a number that is higher than the 113 for the full year 2015, that’s my understanding?
Adolfo Castro: Well, of course I don’t want to place a number there, because we do not control that, but we will do our best therefore to increase that number. And probably the best hint that I can give you is, let’s see what will be the result of the first quarter, we once again very, very important for the result of the year.
Ricardo Alves: Okay. Fair enough. Thanks. Last question kind of related to now that the Terminal 3 is ready, so I thought it would be helpful if you could give us - remind us a little bit about the Terminal 4, the Terminal 4 project, so where you are on that right now, if you could remind us also the capacity somewhat [indiscernible] in terms of date for you to completing it and maybe even more important how is that going to boost your non-aeronautical revenue again, so going back to that same question for Cancun in 2017, because I think this one is going to be more important than the Terminal 3 obviously?
Adolfo Castro: Yes, of course, Terminal 4, what we have concluded is the leveling of the ground, also we have concluded the foundation of the building. So today as we speak, we are in the process of disposing the structure of the building, probably 70 days from now, you could be able to see the skeleton of the building and from there we will proceed with the finishing, as I said during the remarks, we expect to open this building next year. For now, I would say just that, I hope that we will be able to keep a better date within the second quarter conference call. That in my opinion will represent an important change in the commercial revenue for passenger because this building is going to be a new from scratch and remember that the only building we have built in the same way worse than the other three. And that was inaugurated second quarter 2007, but it was designed in 2006. So these buildings Terminal 4 has been designed in 2015 so basically what we are doing is to find all what we have learned from 2006 up to 2015 in terms of what the passenger really wants in terms of service passenger problems. So we will expect to see a different commercial spending in this Terminal 4 against what we have in Terminal 3 and also in Terminal 2 because we will be able to move passengers from Terminal 2 to Terminal 4 from T3 to Terminal 4 and from Terminal 1 to Terminal 2 is open, also we will be able to close Terminal 1. So, that’s that we expect.
Ricardo Alves: Fair enough Adolfo. Thank you so much.
Adolfo Castro: You’re welcome.
Operator: And we will go next to Marcio Prado from Goldman Sachs.
Marcio Prado: Hi, Good morning, Adolfo, thanks for taking my question. I have some follow-up questions, the first one would be on traffic. You have just mentioned that we just saw the numbers from January that we’ll have to wait a bit to have a better sense for the year, but I like you to comment on the difference between domestic traffic particularly in January much stronger than the international traffic? You missed Canada but if you could comment a bit on the gap between domestic and international for January? And second question, you’ve mentioned the expectation that on commercial revenues that duty free should perform better, that you work with your concessionaires to have duty free revenues better in 2016 when compared to 2015 or just like you to remind us how is the concession contract for duty free structured in the sense when does it mature and what are the main features of the contract that ASUR manages? Thank you.
Adolfo Castro: Okay. Domestic and internationally summary for January, as I said before, we had some issues with the case of Canada, because of the situation of their economy. I would say, South America is still strong, not as strong as they were last year, but they are still very strong. Europe is weak, in respect of these, we lost the Russians, the Spanish traffic is peaking-up again, the UK is more or less flat, in general I would say Europe is flatter there. The only one that these would very well in the case of an international countries, the U.S. traffic, of course not as it was last year, but still strong. In the case of domestic, we are seeing a very strong traffic, but in the case of domestic, I’m very cautious because what I’m expecting is that Mexico City airport is finally congested. And then the only option they have, there are people that travels from the metropolitan areas they use Toluca. There was some, there were some announcements from the Mexican government, the one that controls Mexico City airport saying that they believe this airport has a reach again a limit, so on that front I would be cautious there. Remember that 70% of our domestic traffic goes or comes from Mexico City. So this is a very, very important for domestic. The other possibility we have for growth in the case of domestic is the other 30%, the other 30% is basically more connectivity basically to Cancun and the other regional airports. In that front, I see the situation better than how it was before, so I’m expecting a growth from that piece but of course 70% of it is 70%. We will have to see if the airlines are willing to move some of their operations to Toluca and then to see if passengers wants to fly from there, and they are not very long-term to move away from there think to fly. That’s why I can say to you in terms of the traffic, in terms of duty-free, as most of the commercial, as most of our commercial that we have the most important piece of the contract is that they pay us the on a concession fee that means a percentage from their sales. So what we really want is them to sell more and then we would be able to get a better result. The duty free situation in terms of maturity as the contract despise 21 May, next year. And as from the third quarter last year, we have a new company on Board because duty free which is the Company we have today, they have acquired this contract from a company named what duty free too. So as from the third quarter, we are working closely with this company in order to improve the results, we had for last year and that’s what we’re doing today.
Marcio Prado: Okay. So, thank you, Adolfo. Just as a follow-up here, so the contract matures in May 31, 2017 is that correct? And then will you have a new auction for new bidding players that are interested?
Adolfo Castro: That’s for willing it.
Marcio Prado: So I mean could we have, if there is a lot of interest, better, better terms for ASUR’s starting in 2017?
Adolfo Castro: Yes, that’s what I believe and what we have seen is that there is a lot of interest for these contracts.
Marcio Prado: Thank you.
Operator: Our next was Citi will here from Stephen Trent.
Stephen Trent: Hi, good morning, Adolfo and then thanks for taking my questions. Just a few if I may, and I may have asked this last quarter, but if you could refresh my memory, if I look at total commercial revenue per passenger was up 16%, but if I look at commercial revenue per passenger from direct operations it was down 14% year-on-year in pesos. And is that coming primarily in your view from the congestion at the Terminals prior to the opening of Terminal 3 in Cancun?
Adolfo Castro: Hi, good morning. No, you have to go to the reports and you will see there is a note on the report that says that as from April last year we are excluding advertising from direct commercial operations because we already sign a concession agreement with the third party. If you look at the results of advertising that was an increase of 16%. So if you add both the commission that the next commission operations will increase significantly, but of course we are presenting this now in a separate way because of the agreement we signed last year.
Stephen Trent: Okay. So if I look on page 5 of your release, the 14% decline from direct operations, you're saying that that's an apples to oranges comparison?
Adolfo Castro: Exactly.
Stephen Trent: Okay, got it. In terms of looking at the traffic flow outlook, just to ask another question about traffic. To what extent are you hearing anything at this early stage as I'm getting a thousand emails on it with respect to Zika Virus?
Adolfo Castro: I have not get anything. I have not seen anything in terms of results because of it.
Stephen Trent: Okay, perfect. And on this power plant, you guys are building. Could you remind me, this 36 megawatt plant, this is actually going to fuel all of your operations or is it just going to – is it primarily going to be Cancun or is this going to be some kind of energy trading scheme, if you could just refresh my memory how it's going to work?
Adolfo Castro: Well, we are not constructing that plants. That is going to constructed by SunPower. What we have done to have energy purchase agreement with them that will cover the actual energy we are consuming in the non-airports is not just Cancum but for the entire Company. And this is the solar power plant.
Stephen Trent: So, it’s going to be kind of an energy trading scheme so to speak?
Adolfo Castro: Yes.
Stephen Trent: Got it. And one last question, just kind of looking at the results where the big decline you guys had in cash flow from ops, was that at least partially related to the taxation you paid on the dividend and just trying to get my arms round that.
Adolfo Castro: Well, the most important element of the question was almost MXN3 billion – MXN2.9 billion where invested last year. Close to MXN1.6 billion we paid in dividends and if you see the decrease in cash at the end of the year was a convict, despite these two figures. So, it was an excellent year across and if your remember, we were talking here in the third quarter about the possibility of having a loan to fund that were high CapEx we had for the year. And this was not necessary due to the actual results of the Cap last year.
Stephen Trent: Okay. I have another question or two, but maybe I'll follow up with you offline and I'll let someone else ask a question. Thanks, Adolfo.
Adolfo Castro: Thank you, Stephen.
Operator: Our next question from HSBC to Alexandre Falcao.
Alexandre Falcao: Good morning, Adolfo. I just wanted to know specifically on Puerto Rico, do you have a projection when you're going to be able to actually take out money from that operation and what is the strategy of paying dividends if any in there? And second one is related to the upcoming projects in Brazil, I guess that the BD documents are – the directs are out. Just wanted to know, if there is any interest in your side to take a look at that. Thank you.
Adolfo Castro: Absolutely. Well, in the case of Puerto Rico and basically we talk about cash flow and dividends along that. We have to remember that this Company has debt of $350 million with the bond cross funded we gave them. So before we can talk about dividends it will be important if they can start paying the principle of what they own. And the case of that project, remember that we are almost three years away from day one and the original project or the original concept we have there was to be executed between three and a half and four years and we are on timing, we target, so I said to you in the remarks, we expect to continue the demobilization opting the we at least this quarter. Once we do that, the next step is to be able to move some people from some passengers from Terminal B to Terminal C and to close with this or the Terminal C. So this concept will be completed in my opinion as from the third quarter of this year. Then we will be able to see then a normalized numbers from these operations and to see if that is strong, so what we expected 30 years ago. So as of today, we’re doing okay, we are on projects and so I hope that very soon we will be able to see some cash out from that company but basically this cash what we need to pay the debt. In the case of Brazil, I have seen that for project, I have seen that as indeed even that the Brazilian government has been approved, the conditions for that – the improvement is not yet – not in our opinion to look at those projects with interest. So, I have to say that we will not participate on those bidding process.
Alexandre Falcao: Okay, perfect. Thank you.
Adolfo Castro: You’re welcome.
Operator: [Operator Instructions] And it appears we have no further questions at this time. Mr. Castro, I’d like to turn the conference back over to you for additional or closing remarks.
Adolfo Castro: Thank you, Sarah. Thank you everybody for joining us today on this conference call. Also do not hesitate to contact me if there is any further question and have a great day and goodbye.
Operator: And again, that does conclude today’s conference. We thank you all for joining.